Operator: Good afternoon, everyone, and welcome to the SkyWest First Quarter 2018 Earnings Conference Call. All participants will be in a listen-only mode. [Operator Instructions] After today’s presentation, there will be opportunity to ask questions. [Operator Instructions] Please also note today’s event is being recorded. At this time, I’d like to turn the conference call over to Mr. Rob Simmons, SkyWest’s Chief Financial Officer. Sir, please go ahead.
Rob Simmons: Thanks, everyone, for joining us on the call today. As the operator indicated, this is Rob Simmons, SkyWest’s Chief Financial Officer. On the call with me today are Chip Childs, President and Chief Executive Officer; Wade Steel, Chief Commercial Officer; Eric Woodward, Chief Accounting Officer; Mike Thompson, SkyWest Airlines’ Chief Operating Officer; and Terry Vais, ExpressJet Airlines’ Chief Operating Officer. I’d like to start today by asking Eric to read the Safe Harbor. Then I’ll turn the time over to Chip for some comments. Following Chip, I will take us through the financial results. Then Wade will discuss the fleet and related flying arrangements. Following Wade, we will have the customary Q&A session with our sell-side analysts. Eric?
Eric Woodward: Today’s discussion contains forward-looking statements that represent our current beliefs, expectations and assumptions regarding future events and are subject to risks and uncertainties. We assume no obligation to update any forward-looking statement. Actual results will likely vary and may vary materially from those anticipated, estimated or projected for a number of reasons. Some of the factors that may cause such differences are included in our 2017 Form 10-K and other reports and filings with the Securities and Exchange Commission. Chip?
Chip Childs: Thank you, Rob and Eric. The first quarter is generally a challenging one particularly in terms of weather, but both of our airlines delivered well during the quarter. Our fleeting business plan continued to move forward and we accepted a number of new E175 aircraft, including the first of our E175 special configuration aircraft for a Delta operation. I want to thank our more than 17,000 professionals for their ongoing commitment to delivering an exceptional product during the quarter. We operated during the quarter approximately 250,000 flights with strong operating reliability. SkyWest Airlines delivered 99.8% adjusted completion factor and ExpressJet despite being affected by severe weather in their East Coast operations delivered an impressive 99.9% completion when adjusted for that weather. Looking forward to the remainder of the year, we continue to see very strong demand for both our 50-seat and dual-class products. We anticipate an additional 34 E175s on property by year-end and expect these aircraft will continue to create solid growth and cash flow in 2018 and beyond. Specific to our ExpressJet business, I want to remind you as we’ve mentioned in our previous guidance, we do not expect at any of the breakeven this year. However they’re making strong progress and as this quarter’s operational performance shows they are more focused than ever with a smaller footprint. This progress sets them up well for 2019 improvement. We also continue working through opportunities in some of our legacy contracts and financing of aircraft, which Rob and Wade will provide more color on in just a minute. This is a critical part of our evolution as we focus on reducing terrorist going to improving economics. From a big picture perspective, both within our organization across the industry, we continue to see solid opportunity and demand. As we’ve discussed previously 2018 is another busy year in our fleet transition that’s just set us up well for a very strong 2019 and beyond. We’re looking ahead to a busy summer and remain focused on our discipline execution of our strategic business objectives. Again I want to thank our 17,000 aviation professionals for their outstanding work during the quarter. Rob?
Rob Simmons: Today, we reported net income of $54 million or $1.03 per share for the first quarter of 2018, up from net income of $35 million or $0.65 earnings per share from the first quarter of 2017. Pretax income of $67 million during Q1 was up 28% from $52 million in Q1 2017. Revenue was $783 million in Q1 2018, up $36 million from Q1 2017. This increase in revenue included the net impact of adding 19 new E175 aircraft since Q1 2017, partially offset by the removal of 71 unprofitable or less-profitable aircraft over the same period, including 46 50-seat aircraft. Our total fuel cost per gallon averaged $2.40 during the first quarter, up from $2.01 per gallon in Q1 2017. The line item in our P&L for aircraft fuel was $9 million higher pretax than a year ago, reflecting both the higher rate and higher volume under our prorate business model. Just a reminder that over 90% of our model is not subject to fuel risk. Similar to Q1 last year, where we had a tax provision about 4 points lower than the annual rate, because of new accounting rules around equity compensation this quarter is 19% effective tax rate was also several points lower than what we would expect for the rest of the year. The lower provision in Q1 was primarily driven both last year and this year by the fact that we had certain equity grants invest during the first quarter. We would expect this pattern and trend to continue as our board typically only issues new grants once a year during the first quarter. The timing and amount of future related tax impact on our provision will vary based on restricted share vesting, stock price performance, stock option exercises and other factors. We continue to expect our tax rate to be approximately 25% for the remaining three quarters of the year. The full year should still be in the 24% to 25% neighborhood as we estimated last quarter. This quarter we recorded a net gain of $3 million in other income that was a mark-to-market gain on an investment net of other items. Let me say a couple of things about our balance sheet, an important point of differentiation in our model. We ended the quarter with cash of $646 million, down from $685 million last quarter and up from $586 million last year at this time. We issued $160 million in long-term debt during Q1 2018, financing five new E175s and acquiring nine used aircraft off of lease. Total debt as of March 31, 2018 was $2.8 billion, up slightly from last quarter. SkyWest used $38 million in cash toward equity for new planes and planes acquired of lease. $30 in other CapEx along with $10 million in cash for share repurchases. Non-aircraft acquisition capital spending in 2018 should continue to run in the $20 million to $30 million per quarter range. With the remaining 34 E175 expected to be delivered this year, we plan to invest $120 million of our own capital and raise approximately $675 million in new term debt by the end of the year for these planes. We expect to by the end of 2018, our debt will be approximately $3.2 billion, up only $400 million from where we are now, because of the $275 million in normal principal payments embedded in our fully amortizing term debt over the next three quarters. Assuming an end of 2018 peak in debt and no additional new orders for airplanes, we expect that in 2019 and 2020, we will continue to pay down debt in excess of $300 million per year. We would expect cash at the end of 2018 to be up from where we are now, including our plan to invest $120 million of this year’s free cash flow in equity toward another 34 new airplanes by the end of the year. We will continue to explore accretive opportunities to deploy the free cash flow we are generating. As I referenced earlier, during Q1 we repurchased another $10 million in stock under our three year $100 million repurchase program authorized by the board last year. We now have $70 million in authorization remaining under this program and expect to fully utilize it. 2018 is expected to be another busy year for us with many fleet movements as Wade will discuss in a moment. But we finished today with a little commentary on capital allocation. Earlier, I made reference to a small transaction, where we had the opportunity this quarter to acquire nine aircraft off of lease. Negotiating our way out of an unattractive inflexible lease structure and reducing our financing tail risk, the $20 million in equity capital, but we deployed in that transaction will drive a $0.07 annual EPS benefit to 2019 and beyond and represent a 25% pretax return on capital. This is just another example of the type of opportunities we are exploring to drive value creation through accretive financial engineering and risk reduction within our legacy fleet. Because of all the ins and outs around the fleet in 2018, last quarter we made the comment that we would expect our earnings per share to come in under $4.50 for 2018. Including our actual GAAP results in Q1, we would update last quarter’s comments by adding another $0.25 to that number. Wade?
Wade Steel: Thank you, Rob. I’ll first review our fleet changes during Q1 and then discuss our current fleet expectations for the rest of 2018. From year-end 2017 to March 31, 2018, we successfully moved from 595 total aircraft to 580 total aircraft in our fleet. Specifically, we added five new E175 to our fleet during the quarter. As of the end of Q1, we had 65 E175s under contract with United, 25 with Alaska and 23 with Delta, bringing our total E175 fleet to 112. We anticipate taking delivery of 16 E175s during Q2, 13 during Q3 and 5 during Q4. At Alaska’s request, we have agreed to defer three E175s previously scheduled for delivery during the fourth quarter of 2018 until 2021. As we discussed last quarter, ExpressJet have extended its United ERJ145 contract for five years effective January 1, 2018. The new agreement enhances ExpressJet-United’s partnership, significantly reduces contract risk and provides long-term stability to its model. As of March 31, 2018, we had 100 ERJ145s under contract with United. As part of our agreement to wind down ExpressJets dual-class Delta connection flying, 22 CRJ900 has been returned to Delta as of the first quarter. We anticipate returning to remaining six CRJ900 by the end of the second quarter. We also began removing ExpressJet remaining 33 CRJ700 from Delta service during the quarter. The three Delta owned CRJ700s have been returned to Delta. We own the remaining 30 CRJ700s, eight of which we expect to redeploy under our American contract. Our Q4 forecast assumes these 22 aircraft will not be renewed. However, conversations regarding placement of the remaining 22 SkyWest owned CRJ700s are positive and we remain confident that they will be placed prior to their expiration at the end of 2018. On the SkyWest airline side, we also have several CRJ200 contracts expiring during 2018. Our partners demand for 50-seat flying remains strong, we are working with each of them to meet their 50-seat needs. During the quarter, we added eight CRJ200s to the United contract. Our fleet strategy continues producing tangible results to our model and overall profitability. As we’ve discussed, we expect fleet transition to continue throughout 2018 as we place new aircraft into service and continue to deliver on our commercial agreements. Okay. Operator, we’re now ready for Q&A.
Operator: Ladies and gentlemen, at this time, we’ll begin the question-and-answer session. [Operator Instructions] Our first question today comes from Savi Syth from Raymond James. Please go ahead with your question.
Savi Syth: Hey, good afternoon. I just have some couple of questions on the fleet data you had by a year-end here. I notice that with the CRJ900/CRJ700 numbers, they don’t necessarily go down by an additional 30 by the end of the year. Is that a function of – the timing of things coming out with Delta or is that some level of confidence that [indiscernible]
Wade Steel: Hi Savi, this is Wade. So what in our CRJ700/CRJ900 lines as I talk about my script there is still six more CRJ900 that will be removed during Q2. There are also some other 7s and there is also some other CRJ700s and CRJ900s that are going away. The 22 are going away in this model as well what we have in the pressure release. And so if we are able to place those, that will be upside.
Savi Syth: Okay. So its adjusting from – I think it was like 169 to 140, okay. So that’s the 29 just coming down.
Wade Steel: Yes. That’s right.
Savi Syth: Okay. And then the CRJ200 just wondering how many you’re flying with prorate – has a prorate number increase at all and with the – king of the ones that you place with United, how long of those contracts going at?
Wade Steel: Yes. So this is way again Savi. So as far as the prorate, it’s very consistent with what we have in the past, its about 10% of our total fleet. And then on the United side, the 8 CRJ200, it is a two-year contract that we sign off those yet.
Savi Syth: Okay. And then just somewhat a question on pilot supply, could you just provide kind of update on what you’re seeing from hiring an attrition on that side. And I thought I heard that maybe can ExpressJet has an agreement with United for a path through, at least interview on that front and they can – is there more opportunity to do things like that?
Chip Childs: Thanks, Savi. This is Chip. Yes, let me just make a couple of quick observations about pilot supply, I think as we usually update relative to our current position with pilots, I can tell you that right now we’re still in a very good position. Going into the summer, we feel very comfortable being able to fly with what we have forecasted and being able to meet our partners need. The ever changing pilot supply model, we do see things that are happening within the pipeline. I believe the longer that we continue to go down the pathway of dealing with this struggle, the pipeline gradually continues to grow. It’s not necessarily growing as fast as what probably should, but we are – we spent a lot of time and energy and effort with schools and the front end of our pipeline of both of the – both carriers to make sure that we’ve got a good strong recruiting footprint and we’re still – we still continue to be optimistic about. ExpressJet does have a pathway with United relative to the 50-seat flying that they do. And it’s been something that I think is that’s been able to provide some good clarity for those pilots as they progress throughout their career. And in relation to this being an opportunity to do some additional things in the future, I think that it’s safe to say that this is a dynamic enough situation that we do have a lot of conversation with our partners. All centered around making sure that we can provide for their needs in a number of different ways. This is just one of those ways we continue to have a conversation with. So look we’re optimistic. We’re not oblivious that it can continue to be an issue, but we spend a significant amount of time and effort making sure that we can honor the good commitments that we have with our major carriers.
Savi Syth: Thanks, guys.
Operator: Our next question comes from Michael Linenberg from Deutsche Bank. Please go ahead with your question.
Michael Linenberg: Yes. Hey, good afternoon, everybody. Hey Rob, just a quick question, you mentioned in the other again on a small investment a few million dollars. What is that? What is that again?
Rob Simmons: Its just a small investment they had a mark-to-market on it during the quarter net of a couple other items in that line item, but that it’s $3 million net.
Michael Linenberg: Okay. So what – can you tell us the nature of the investment or now that…
Rob Simmons: It’s just an equity investment that we had.
Michael Linenberg: Okay, okay. And then my second question is Chip, when you were characterizing ExpressJet, I just want to make sure I heard this right that I think you said that ExpressJet was what on track to either be breakeven this year or that its results would not any better than breakeven. How did you characterize? I just want to get a sense of what – I know this is there’s a little bit of a transition there, but what’s the view on ExpressJet again I just I don’t think I heard you well on for 2018.
Chip Childs: Yes. So for 2018, we’ve had a good conversation about ExpressJet several quarters in a row. We continue to transition that way the main goal is to make sure that we have a transition to where it is long-term sustainable.
Michael Linenberg: Okay.
Chip Childs: So in my script, I said that its going to not be breakeven this year. So we’re still going to lose a bit of money this year.
Michael Linenberg: Okay.
Chip Childs: As embedded within our forecast, but it’s actually a significant transition this year particularly with this we’re pulling out all of the Delta flying and transitioning it is to primarily United and American in one year it spend – it is taking a lot of cotton and the main reason why we’re saying what we are about a losing money to share number one priority in this transition to make sure that there is no service interruption with our partners. So we can say we have pulling the fleet down that much. We have plenty of professional, maintenance and pilot and flight attendant throughout that transition to make sure that its a good, strong, solid operation during the summer and throughout the rest of your for our partners, but it does set us well to turn the other way hopefully in 2019.
Michael Linenberg: Okay. So that’s what I was going to be. My next question, so it sounds like that everything that happened this year at least on paper, it should be profitable I guess on a fully allocated standalone basis in 2019, maybe not all that profitable, but still nonetheless it seems like that things should setup for it to be in the block next year. Is that a fair assessment or am I still being too aggressive?
Chip Childs: No, I think that’s a pretty fair assessment and you can imagine a lot of the investments we’ve made over the past couple of years to get to that point. But Michael you’re pretty on track, that’s a pretty fair assessment to be setup to be in the block next year.
Michael Linenberg: Okay, great. Thanks to answer my questions. Appreciate it.
Chip Childs: Thank you.
Operator: Our next question comes from Helane Becker from Cowen. Please go ahead with your question.
Conor Cunningham: Hey guys, it’s actually Connor. How are you?
Chip Childs: Hey, Connor.
Conor Cunningham: If I just had a question around scope, there’s been a lot of discussion with that the network carriers regarding scope. Maybe can you just talk a little bit about how important it is to your outlook pass 2019 to see scope release your partners? Or maybe you can just talk about your expectations around that actually happening or not. Thanks.
Chip Childs: Connor, it’s a great question. And I think it’s one that we have set our model of really well to deal with this question of if we get scope or not, part of that strategy that we have I think we need to be prepared either way. Certainly the opinion of its scope release is going to happen in the near-term is not an answer for us to speculate on. We would love it, if it did. But we have set our model up to really, really well if it doesn’t. Because I mean if you take a look at what we’ve done over the past two, three, four years, it’s been a really, really long time since there was any real genuine scope release I mean even back to the bankruptcy area of the major carriers pretty consolidation. So from our perspective, our mix between dual-class aircraft and 50-seat aircraft is to be able to just to respond to our partners need, which today is showing very, very good demand for both. If we do not get any scope release, then I think that we’ve made all the right investments in all the right places to continue to have a good sustainable business model given the demand that scope enable that they have. And if there is scope relief in the future, in our view, that’s just pure upside, but we’re certainly not strategically planning or gambling on having scope relief in the near or long-term.
Conor Cunningham: Okay, great. And then, pull down prorate so obviously jet fuel has been on arise. Have you guys thought about a little bit differently this year? What’s your expectation just around its profitability, if you can talk to about? Thanks.
Chip Childs: Yes. I’ll give you just some very high levels about, I know there’s a lot of dialogue about fuel today. I can tell you in all of the sensitivity analysis that we’ve evaluated given yield, capacity and fuel. None of those three factors at least as we view it or causing us to change any direction our strategy in the near or long-term. It’s hard to speculate, what’s going to happen with fuel. Certainly, Rob indicated on his script that we’re like 90% of our entire business model is totally immune from fuel. The prorate side of our business, we’re still comfortable with what we’re seeing a speculation out there a fuel prices and continue to execute as plan.
Conor Cunningham: Okay. And one last one just a housekeeping one. Rob, can you just go over the transaction you did during the quarter, when you bought the aircraft I believe – I didn’t – I just want to make sure heard it correctly.
Rob Simmons: Yes. It was nine aircraft that had been under sort of the long-term leverage lease type structure that we’re not big fans of now. Those sort of lead structures tend to be sort of detrimental to our partner strategy is where executing this model. So we’re exploring any and all opportunities to go back and cure some of those inflexible lease structures and we had a small transaction this quarter, where we were able to deploy $20 million in equity capital in an accretive way and take away the tail risk for nine additional airplanes and give ourselves more flexibility. And we’ll continue to look at incremental opportunities to do that across our legacy fleet.
Conor Cunningham: How many incremental aircraft are there in your fleet that you could potentially do this left?
Rob Simmons: Well, I think that, it all is going to come down to economics. We’re going to be smart about the way that we do this. Obviously, we’re only going to deploy capital against opportunities like this to the extent that we can do it in an accretive way. But stay tuned, I mean we’re going to – we’re hopeful that there’ll be more to come.
Conor Cunningham: Great. Thanks guys.
Operator: [Operator Instructions] Our next question comes from Steve O’Hara from Sidoti & Company. Please go ahead with your question.
Steve O’Hara: Hi, good afternoon.
Chip Childs: Hey, Steve.
Steve O’Hara: Just on the – you talk about solid demand and things like that across the fleet. And maybe kind of upside and downside to your estimates, I mean your estimates but kind of projection that you updated today. I mean I guess good demand is great, I mean do you feel more confident today that you can capture some of that and I would assume beyond 50-seat side at rates that makes sense going forward. I mean, you feel more confident today that you’re getting closer to something like that.
Chip Childs: Yes. Steve, it’s Chip. Let me just kind of give you a parameter of what we see for demand out there. I fundamentally believe that as we’ve mentioned earlier with respect to scope. We’re engineering kind of our business model to be able to continue to be sustainable and successful without scope. With that, people can be concerned about scope, but if there’s no scope there’s still certainly demand for the regional model. And so at a very high level, Steve, I would reiterate – the demand for the regional model just the pure economics, that’s out there relative to what we do for major carriers is a very, very good model today. From our perspective, we look at it in terms of what sustainable from growth and we’re taking a lot of new aircraft this year in 2018 is SkyWest Airlines. And to the extent that it’s probably the maximum that we can take and be able to do it in a good orderly manner. And so from – on a future perspective fundamentally look if there is scope relief, there is certainly the economics of these aircraft are very, very good, if we get scope relief. If not, then we can certainly back to a more with 50-seat. So the more likely scenario for us, if there’s not scope relief, we could do a lot with 50-seat aircraft. To the extent that we have a very large fleet of them and we can continue to invest capital and then to be an extremely good product for what our business model is. So looking general term, it’s hard to predict the details of where it’s going to go, it’s mostly our job to continue to put ourselves in a position with outstanding operating performance, good aircraft financing, discipline cost approach that meets the demanding needs of our partner. We’ve seen recently that’s good thing to happen as long as we’re focused on those three or four elements.
Steve O’Hara: Okay. And then just go back to the pilot comments, maybe I’m misreading this. But was there a change into your quarter or recently in terms of attrition or your ability to hire qualified candidates. Or is it just kind of normal diligence in that process and keeping that line of hiring going the way you needed to go.
Chip Childs: Yes, yes. So let me give a little bit more color, I probably should have done that on the previous question. I mean I think from our perspective, where we are with pilots today, we’re seeing consistent attrition across to our platform, that’s pretty much the same as it’s been over the last couple of years. Our hiring is as strong as it’s been the last couple of years and we’re spending. Just as a matter of diligence, we do have a good healthy respect for what the retirements of the major carriers still are. So we do fundamentally believe that we continue to work to make the pre-regional aircraft pipeline bigger through the schools and the operators that are producing pilots for us. That’s an imperative investment for us to continue to make. But as it relates to now through the near-term and our commitments with our partners, I don’t want to call it status quo, but we do feel is comfortable as we ever have given the commitments that we’ve got to fly. And that being said, it’s also like I said before, it’s a very strong year for additional E175 growth at SkyWest, which we’ve got to put a lot of – lot more numbers of that. So like everything is working today, we’ve got great cultures of both of our enterprises that are able to recruit with credibility and we’re optimistic, but we’re also extremely diligent on the front end of the pipeline as well as still as well.
Steve O’Hara: Okay. All right, great. Thank you very much.
Operator: And ladies and gentlemen, at this time, we close today’s question-and-answer session. I’m showing no additional questions. I’d like to turn the conference call back over to Chip Childs for any closing remarks.
Chip Childs: Thanks, Jamie. Again thanks for joining us on the call today. I think in summary, we continue to remain focused on our strategic objectives by maintaining strong mainline partnerships delivering good solid operating reliability and continue to attract the best aviation professionals that are out there. We continue – as we continue to executing our business plan, we believe that there is a very strong demand for our product going forward. And look forward to meeting the demands of – needs of our customers and partners. So with that, we look forward to talking to you next quarter.
Operator: Ladies and gentlemen, that does conclude today’s conference call. We do thank you for attending today’s presentation. You may now disconnect your lines.